Operator: Welcome to the NextGen Healthcare Fiscal 2021 Second Quarter Results Conference Call. Hosting the call today from NextGen are Rusty Frantz, President and Chief Executive Officer; and Jamie Arnold, Chief Financial Officer. Today’s call is being recorded. All lines have been placed on listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] Before we start, I would like to remind everyone that the comments made on this call may include statements that are forward-looking within the meaning of federal securities laws, including and without limitations, statements related to anticipated industry trends and the company’s plans, future performance, products, perspectives and strategies. Risk and uncertainties exist that may cause results to differ materially from those expressed in these forward-looking statements, including among others, those risks set forth in the company’s public filing with the U.S. Securities and Exchange Commission, including the discussion under the heading Risk Factors in the company’s most recent annual form -- annual report on the Form 10-K and any other subsequent quarterly report on Form 10-Q. Any forward-looking statements speak only as of today. The company expressly disclaims any intent or obligation to update these forward-looking statements. Our remarks on today’s call include both our earnings results and guidance, which contains certain non-GAAP financial measures. For our earnings results, the GAAP financial measures most directly comparable to each non-GAAP financial measure used or discussed and a reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found within our latest quarterly earnings press release that was filed with the SEC and is posted to the Investors section of our website. This release also provides qualitative description of how we have calculated non-GAAP financial measures contained in our guidance. At this time, I would like to turn the call over to Mr. Rusty Frantz, President and CEO of NextGen. Sir, you may begin.
Rusty Frantz: Thank you, Operator. Q2 FY ‘21 is a great example of NextGen’s operational and financial strength, and our ability to continue to execute and advance our strategy during a complex time. On today’s call I will highlight the following, NextGen’s strong Q2 performance across almost every operational metric, including revenue, earnings and free cash flow, as well as continuing strong growth in subscription services. How our delivery of the best overall client experience in the independent ambulatory market is showing up in commercial wins both inside and outside the base. Our intention to further capitalize on the commercial success of our expanded solution by opening significant long-term market opportunity through bringing our client base onto the Spring 2021 release, which notably includes our newly acquired patient experience platform. And at the close of our remarks, we will provide guidance for FY ‘21 as we now have better visibility and understanding of the range of business impacts from COVID. Let’s start with Q2 operational performance. Our revenue for the quarter came in at $140 million, an increase of 4.3% year-over-year and 7% quarter-over-quarter. As it has been for a number of years, subscription services revenue consent -- continued it’s mid-to high-teens growth rate, accounting for $36.9 million and representing 17.4% year-over-year and 4.3% quarter-over-quarter growth. We saw a gradual return of our volume based businesses throughout the quarter. As we had forecast, our volume driven lines RCM and EDI are at about 93 to 95% of pre-COVID volume levels. Additionally, we saw a spike to more classic levels on perpetual license revenue, which pushed our software and hardware line up $3.3 million higher than each of the two previous quarters. Non-GAAP EPS of $0.30 increased $0.06 year-over-year and $0.07 quarter-over-quarter. This strong performance benefited from the $0.04 of short-term cost initiatives that have expired as of the start of Q3, contribution from the higher than expected perpetual license revenue, as well as excellent cost management across the organization. As we move through the balance of this year, we expect this number to move down to a more normal fully laden run rate. Free cash flow of $23.7 million highlights another great performance by our collections team. Based on our continuing track record and improve market conditions, we are comfortable further reducing the amount drawn on our revolver early in the pandemic, resulting us -- in us paying down a total of $115 million in Q2. This leaves an outstanding balance of $64 million as of September 30th and we are in a net cash positive position. Taking a deeper dive into commercial execution, we had a great quarter. Bookings of $31.2 were up $5.7 million quarter-over-quarter and they are down from a stellar $36.9 year-over-year, last year did include a $5.5 million recurring deal. We are seeing some recovery of demand and we will discuss our forward looking views later on this call. Consistent with last quarter, we were successful in competitive takeaways, as more than 20% of our bookings came from takeaways, showing the growing strength of our solution coupled with an increasing brand tailwind from our client’s satisfaction. As we continue on our journey to becoming a trusted advisor to our clients and a relentless focus on delivering the solution that enables our client’s future, I expect to see our continued -- commercial success continue. And finally, let me turn to the legacy maintenance line. Retention once again came in strong at over 90% and point of fact 92.9%. Given the rapid client and revenue growth and subscription services and recurring revenue and the relatively -- relative stability and now lesser importance of the legacy maintenance line, we will no longer be reporting on this metric unless it trends below our forecast range of 90%. We saw continued validation of our great client satisfaction with the latest release of the Class Interoperability Report. NextGen was identified as and I quote, the only ambulatory specific EMR vendor to provide a strong usability experience for all interoperability workflows measured in this report. This is a great validation of how NextGen is giving our clients the unique capability to access the patient’s entire available clinical record and put that information to use in the care process. To be able to treat the whole patient and create a great patient experience, these are absolutely essential capabilities. Many have and continue to talk a big game in their marketing materials, we are delivering and not just delivering a lot of data, we are helping providers get to more informed clinical insights, not according to me, according to our clients. As we look to the future, we are focused on the early success and demand around our patient experience platform. We also see the amazing opportunities for deeper integration across the broader portfolio, further separating us from both traditional competitors, but also best of breed players. By delivering a truly integrated platform we are both opening up further opportunity and becoming even stronger in our base. To that end, we have been investing in significant R&D aimed at delivering this next level of integration in our upcoming Spring 2021 release. At that point, we will further empower our Why NextGen message across the marketplace continuing to enhance our competitive position. In addition to valuable cross platform workflows and key capabilities, this release has two very important aspects. First, the ‘20 -- Spring ‘21 release will have our new patient experience platform deeply integrated. In addition, this will be the release that enables our clients to meet the requirements stemming from the 21st Century CARES Act which come due in August 2022 and effect and are required for the vast majority of our clients.
Operator: Mr. Frantz.
Jamie Arnold: Give him a second, please.
Operator: No problem. And Mr. Frantz are reconnected?
Rusty Frantz: Jamie.
Jamie Arnold: Yes.
Rusty Frantz: Jamie, where did we leave off? Where do we leave our heroes? The glories of remote work. Okay, so I am going to start back. Just a little bit and apologize for repeating for anyone. As we look into the future, we are focused on the early success and demand around our patient experience platform now. We see the amazing opportunities for deep integration across the broader portfolio further separating us from both traditional competitors but also best of breed players. By delivering a truly integrated platform we are both opening up further opportunity and becoming even stronger in our base. To that end, we have been investing in significant R&D aimed at delivering this next level of integration in our upcoming Spring 2021 release. At that point, we will further empower our Why NextGen message across the marketplace continuing to enhance our competitive position. In addition to valuable cross platform workflows and key capabilities, this release has two very important aspects. First, the Spring ‘21 release will have our new patient experience platform deeply integrated. In addition, this will be the release that enables our clients to meet their requirements stemming from the 21st Century CARES Act on August 2022 which affecting are required for the vast majority of our clients. To that end, NextGen will be investing to ensure our base is migrated onto the Spring ‘21 release in the fully integrated patient experience platform. This effort creates significant opportunities. We have seen our attachment revenue for new capabilities grow quickly and like satisfaction, it is highest for clients on our latest releases. By bringing clients quickly onto the Spring ‘21 release and by standardizing on the patient experience platform, we can contract for such high value modules like self-scheduling for patients, virtual visits and patient pay, all integrated. As we bring the client base into the future, we also be truly activating this increasingly broad market opportunity. As we accelerated into the Spring ‘21 release, we are also seeing benefits within the R&D line from two primary dynamics. The first is a continued reduction in the need for sustaining activities, attacking technical debt as a result of our work on quality. The second is the continued success and becoming more efficient from an investment standpoint, the global resource planning work we have done, the software lifecycle improvements, as well as the development of nimble and capable flex capacity have all combined to allow us to maintain roughly flat to slightly down from a raw dollar standpoint, we have done this while delivering increasing capacity without compromises to quality. From an implementation standpoint, we are starting to invest here ahead of the Spring ‘21 rollout. This cost will show up in the back half of the year further establishing the back half of ‘21 as the representative baseline of how we will look entering FY ‘22 from an OpEx standpoint. In a few weeks, our user group meeting, usually held live in person has naturally migrated to virtual this year. While usually we see 2,500 to 3,000 of our existing client team members come join us along with a few prospects, this year, we already have 5,000 existing client team members, but have also created a reduced track for any ambulatory team member regardless of which other vendor they are currently on. This is not a sales presentation about NextGen but rather a small example of the very high value strategic and tactical content we continuously provide to all NextGen clients as part of their overall experience. We see this as a great opportunity to continue NextGen’s journey to becoming a trusted advisor to all ambulatory providers as we support a one of a kind integrated approach to the three pillars of ambulatory care, medical, oral and behavioral health. Now to get more color on the financials, let’s turn to Jamie for a deeper dive into the numbers.
Jamie Arnold: Thank you, Rusty. Thank you to everyone on the call. Now the Q2 financial results. Total revenue of $140 million increased $5.7 million or 4% compared to the same period last year and up 7% from Q1 FY ‘21. In light of the circumstances that we faced entering this quarter, our results are above expectation. Recurring revenue of $125.7 million increased $5.1 million or 4% compared to a year ago, with an increase of 17% in subscription services, 4% in managed services, which was offset by a decline of 3% in maintenance and support and flat for EDI and data services. While doing a year-over-year comparison tie the information in the earnings call to the GAAP financials in the 10-Q and press release, I believe the more informative comparison for recurring revenue is comparing the current quarter to the preceding quarter. Quarter-over-quarter recurring revenue had a net increase of $6.2 million or 5%. Subscription revenue increased $1.5 million or 4%, which is consistent with the general trend over the past several years and in line with our expectation for the future. More significantly for the quarter, volume driven revenues rebounded after the significant COVID impact in Q1, with increases of $3.7 million or 1 -- or 17% for managed services and $1.4 million or 6% for EDI and data services. Volumes on the same store basis increased consistently over the quarter to result in approximately 93% to 95% of pre-COVID levels, maintenance and support decreased $500,000 or 1%, which is consistent with historical trends and expectations. Recurring revenue is 90% of our total revenue in line with the prior year and the prior quarter, and in line with our expectations. Non-recurring revenue of $14.3 million increased $600,000 or 5% over the same quarter last year. Software license and hardware revenue of $8 million declined $200,000 or 3% year-over-year, but increased $3.3 million quarter-over-quarter. The quarter-over-quarter increase reflects a catch up of the pent-up demand from impact of COVID on our run rate or lower dollar add-on transactions, as well as several large transactions both in the base, as well as outside the base. These large dollar transactions closed is licensed purchase rather than subscription, making this line lumpy and somewhat hard to forecast. More importantly, it makes a significant impact on the bottomline that is disproportionate to the revenue increase. Non-recurring services revenue of $6.3 million increased $900,000 or 16% compared to a year ago, due to our efforts to close out service contracts. We believe non-recurring services will stay in this range or moderate slightly. Bookings came in at $31.2 million in the quarter, down 15% as compared to the same quarter a year ago. Note that we -- last year we had a $5.6 million contract. Two highlights of the quarter include continued -- continuous improvement in book -- continuous strengthen bookings of virtual visits and replacement demands within GE, which represented about 20% of the total bookings for the quarter, further reinforcing the wisdom of the sales management reorganization we announced last year. Cost of goods increased by $3.2 million or 5%, primarily due to higher amortization of capitalized development costs and inquired -- and acquired intangibles and higher subscription services and higher managed services cost associated with the return of transactional volume. Gross profit increased 4% to $71.1 million and gross margin declined to 58 point -- 50.8% compared to the prior quarter 51%. Turning to our operating expenses, SG&A of $42 million increased $2.9 million or 7% from the $39 million a year ago. This increase is primarily due to an increase in legal expenses and an increase in personnel costs including stock-based compensation and salaries and benefits associated personnel that came over from the acquisitions closed in Q3 of FY ‘20. This was off -- these increases were offset by decreases in travel conferences and infrastructure expenses. R&D of $17.7 million decreased $2.1 million or 11% from the $19.8 million a year ago. The decrease is due to higher R&D capitalization, which reduces in net R&D expense and decreases in traveling other infrastructure expenses. Our GAAP tax rate for Q2 was a benefit of 14% with non-GAAP tax rate of 20%. To conclude my comments on the income statement, our Q2 GAAP EPS was $0.16 compared to income of $0.09 a year ago. Our non-GAAP EPS of $0.30 increased 6% compared to the prior year. Turning to the balance sheet, we ended the quarter with $103.4 million in cash and equivalents, and $64 million balance outstanding on our revolving line -- revolving credit agreement. DSOs in the quarter were 49 days, a decrease of eight days from last year and down five days from the last quarter. I want to credit our account services personnel and commercial teams for working with clients in this tumultuous time. Based on strong collections and overall marketing market conditions, we have repaid $115 million this quarter against the revolving line of credit. Our CapEx excluding R&D was $100,000 for the quarter. Capitalized R&D was $6.5 million for the quarter. In closing, I am pleased with our performance this quarter and proud of the organization for their resilience and determination. I am looking forward to continued progress as we work towards the new normal. This concludes my review of the second quarter financial results and I will now turn the call back to Rusty to provide our full year outlook. Rusty?
Rusty Frantz: Thank you, Jamie. And please confirm you can hear me?
Jamie Arnold: I hear you.
Rusty Frantz: Okay. Thank you. Thank you, Jamie. And now let’s take that look forward. I’d like to discuss both our view of the rest of the year, as well as the assumptions about the effects of the pandemic that we are -- that are built into our forecast. Looking at the past volume is taken, as well as factoring in the acceleration we currently see in COVID, we are modeling volume is staying in the 90% to 95% range for the back half of the year. On the booking side, based on the progress in the first half of FY ‘21 and the same intensity assumptions for COVID that drive the volume estimate, we expect to see a full return to the demand environment as move to the balance of that -- balance of FY ‘21 and into FY ‘22. We expect continued strong growth in subscription services. This line continues to be the dominant growth driver for NextGen. We expect that mid-teens year-over-year growth to continue through the rest of FY ‘21 and we saw an opportunity to further accelerate the future. Perpetual license revenue has come down overall, but remains lumpy as evidenced by this quarter, while we have modeled it -- moderating fluctuation this number as a significant impact on the EPS line given the high margin nature of the revenue. On the volume base side of our business, we look at the expansion of COVID and its potential impacts with a cautious eye. As we look at the remainder of the year, our volume estimates five fewer days in the back half and the front half and patient deductible resets in our Q4 will drive a relatively flat to slightly down forecast for the remainder of the year. Legacy maintenance will continue at slow multiyear decline as we continue to add fewer perpetual licenses given our outside and inside the base bookings are increasingly showing up in the recurring revenue and subscription sides of our business. And on the cost side, I stated earlier, we have ended the short-term cost reductions, resulting in a resumption of $0.04 of quarterly spend. Our guidance includes the first half benefit of $0.08 of cost savings that will not be repeated in the back half of the year nor in FY ‘22. As discussed earlier, we will invest ahead of the significant deployment of Spring ‘21 with our new patient experience platform and that investment will first show up in Q3 and Q4, and extend through next year. Importantly, we have been able to avoid the need to expand R&D investment through the aforementioned increased cost efficiency and effect and robustness of the underlying software. W will be able to support our strategy at current spend levels. That says increased -- that’s -- that being said, increased commercial success and/or further M&A could cause us to revisit that decision as we move into future years. Finally, we will continue to evaluate, reduce and relocate parts of our facilities footprint with an eye towards employee safety, a great percentage of remote team members in the future and the most favorable geography from a location talent and cost standpoint. That process is and will be ongoing as we are now aggressively evolving NextGen into our future state. Based on these dynamics, we expect to see revenue for FY ‘21 coming in between $535 million and $551 million, with EPS coming in between $0.83 and $0.93. To deliver this kind of year in the face of the pandemic, overcoming significant impact from patient volume drops, delivering key new capabilities like virtual visits at scale, winning competitively with virtual selling, all the while extending our capabilities and client satisfaction, it’s just an amazing performance by our NextGen team. As we look past ‘21, we will leave it at this, while much of this year’s recurring revenue numbers already been booked. We must continue to execute commercially as we set up next year’s growth, most notably in subscription services, more to come as we move towards year end and FY ‘22 begins to take shape. In closing, I want to start by thanking our entire client base. We are proud to be an important supporting actor in the great work you do. We are delivering financially, both in results and cash generation. Our primary growth driver subscription services is delivering enviable growth at significant scale and positive margin, all within the broader, profitable cash generating framework of NextGen. We have moved from fixing technical deficiencies to delivering a broad, highly robust, strategically positioned solution. We have an increasing addressable market for our solutions across those three pillars of ambulatory care, medical, oral and behavioral, both internal to our client base, as well as in less satisfied client basis with less capable vendors. We have an employee culture that shows up every day in our client’s feedback and gratitude. Thank you to the entire NextGen team that I get to be a part of. We look forward to a bright future together. Now I will take questions. Thank you all.
Operator: [Operator Instructions] Your first question comes from Jeff Garro with William Blair.
Jeff Garro: Hey. Good afternoon, guys, and thanks for taking the question. I wanted to ask about the move to more subscription deals and bookings. I know there was a point of emphasis last quarter. You called out the full list of licensed revenue in the most recent quarter. So, if you could give any background on those discrete deals in this quarter, that would be helpful? And then an update on how the outlook is for the push to subscription going forward?
Rusty Frantz: Yeah. So, first of all, Jeff, great question. As we -- the actual shift to subscription started happening really almost within about a year of me joining the organization. So it’s been going on for a number of years. We haven’t talked about it as much. But it’s been quietly and very rapidly building into a very significant portion of our revenue and one that continues to grow really as we see for the foreseeable future. Now, what we said was, we are actually now removing kind of the incentives for our team to sell perpetual and really balancing that neutrally or even slightly towards recurring. And with the thought that, we are just going to let the natural kind of organic demand for perpetual licenses happen, but we are always going to be leading with subscription. And what we found is, is that certainly as demands come back, first of all, there was some pent-up demand in our base, but also there are clients who absolutely prefer that model. What I would say is, because it’s really based on discrete pieces of demand. For example, there was one very large deal that came in in September that had a significant amount of recurring -- of perpetual revenue on it. These things are going to happen and because the number is pretty small now, it’s going to be a little bit lumpy and the reason I call it out in the call is only because when that lumpy revenue comes in, sometimes it has some very accelerating effects on the EPS line, compared to maybe some other pieces of revenue.
Jeff Garro: Got it. It’s very helpful. And one more for me is on the Spring 21 release, it sounds like a little bit more emphasis on one of your new product releases than we have heard historically. And that -- it sounds like this release could have a positive impact on several fronts and might be from specific add-on products or more competitive displacements or better retention. So I just love to hear more comments on kind of where and how you see that new release play out positively and how we should think about the potential timing of that impact?
Rusty Frantz: Yeah. Well, sure, I mean, first of all, the reason we talk about this release is, we have been doing a tremendous amount of work behind the scenes to build out all of the different capabilities necessary to truly empower an ambulatory organizations success. And we have built a lot of these things, but the real proof in the pudding for the client and the thing that makes you a one stop shop, is when one plus one equals three across the assets and capabilities of the portfolio, and that’s really platform integration. That means the workflows span from one part to another and that it’s a consistent experience for the practice. And so this release really is the culmination of a number of years of work and we have been doing a great job cross selling various capabilities of the platform to both existing and new clients. But as that platform gets knit together, we stop having as many of the best of breed conversations. We really start having a best platform conversation. Now, as we roll out through next year, first of all, I mean, the release comes to release in spring. So you will really see the meat of the migration really starting, my guess would be towards the end of the summer. Now as we bring people on the new patient experience platform for the portal itself, that’s not a revenue event. But when they start adding new capabilities, like self-scheduling and alike, that also becomes a revenue event. And then on top of that, it opens up the opportunity for us to continue to bring new patient facing capabilities to the table that enable our practices to create a great patient experience, but also enable that constant collaboration between a patient and a provider that truly delivers the right result, which is so much more important in risk based arrangements.
Jeff Garro: And so, one more follow-up there just on your comment on less best [ph] of three type conversations, does this become a catalyst for even a greater amount of all in deals at some point?
Rusty Frantz: Absolutely. I mean, that’s really what we are seeing. We are seeing clients come in and really looking at the entire platform. And that really, I think, that is a testament to just some of the work we have done to-date. But the Spring release really brings that up to a whole another level.
Jeff Garro: Got it. Thanks for taking the question.
Rusty Frantz: Yeah.
Operator: Your next question is from Sean Wieland with Piper Sandler.
Sean Wieland: Thanks very much. And just want to follow up on Jeff’s question. So could we get a little bit more specific on the requirements of the CARES Act as it pertains to the Spring ‘21 release? Like what are some of the specific deliverables that need to be installed in your client base by August of 22 that are driven by regulatory requirements from the CARE, I am sorry, the CARES Act? Now the CARES…
Rusty Frantz: From the CARES Act?
Sean Wieland: Yeah. I am sorry.
Rusty Frantz: Yeah. It’s very much around data blocking and data sharing. I am actually not prepared to get that deep into it so on this call. But it is something that we can certainly provide more guidance on, especially as we get closer, simply because, yeah, that’s just not something that we are not that close to release yet. But what I will say is that, when our regulatory team looks at our client base, the vast majority of our client base will need to comply with this Act -- with the regulations from the Act. And at this point, based on the scope of the government and the timing, we are on a good path to get them there.
Sean Wieland: Okay. And for your existing customer base, is that a bookings opportunity for you to upgrade them to the Spring ‘21 release or no?
Rusty Frantz: It’s not a bookings opportunity. But what we do have the opportunity to do is pull-through a lot of other capabilities that they would not have had access to and this integrated fashion before they were on the new patient experience platform. But it also was an opportunity to come into them during the upgrade and really walk through all the benefits, if they also acquire pop health, if they also acquire financial services and those type of things. And what I’d say is, we have already seen a good bit of attachment of our acquired and new assets to existing clients. And our feeling is, is that as we go through this cycle, we will continue to see that attachment rate increase.
Sean Wieland: Great. I miss what -- why -- what’s the reason behind the spike in the perpetual license in the quarter?
Rusty Frantz: The reason behind the spike of perpetual license was simply that, we had some clients come in that just really were wedded to that type of model. And when it comes down to it, you have got a choice, either force -- try to force them down a recurring path when they are absolutely wedded to this and have them walk or sign the business. And so while we are neutral from a sales comp standpoint and we are tilted towards recurring from a management standpoint, what I’d say is, the clients are still sometimes going to buy the way they want to buy.
Sean Wieland: Cash is king. Thanks so much.
Rusty Frantz: Yeah. For sure. Yeah. Let me just say one other thing on it, Sean. My hope is, is that we have kind of gotten to the unaffected demand level on perpetual revenue. And my hope is that what we will see is, we will see this go relatively flat in the next year, simply because we are not tilting the field one way or another from a sales cost standpoint. And so because of that, you should -- we are hop -- I am hopeful that you won’t see the major shift in margin production that comes based on the -- a significant mix shift in perpetual.
Sean Wieland: All right. Got it. Rusty, I mean, Jamie, one quick one, R&D cap rate in the quarter?
Jamie Arnold: R&D cap rate was 27%.
Sean Wieland: Thank you.
Operator: Your next question is from Steve Halper with Cantor.
Steve Halper: Hi. Just a quick housekeeping question. The -- you talk about $27 million of cash flow, was that operating cash flow in the quarter?
Jamie Arnold: That’s free cash flow.
Rusty Frantz: Free.
Steve Halper: Free cash flow all the way, give us the operating cash flow number, I guess, I can back into it.
Jamie Arnold: I can give it to you, give me one second…
Steve Halper: Sub $33 -- $34 million.
Jamie Arnold: $30.2 million.
Steve Halper: $30.2 million.
Jamie Arnold: Yes.
Steve Halper: Okay. Thank you.
Rusty Frantz: Yeah.
Operator: Your next question is from Sean Dodge with RBC Capital Markets.
Sean Dodge: Thanks. Good afternoon. Rusty you touched on I think a little bit in the last part of your prepared remarks. But on the EPS guidance, the midpoint of the range is like something like 6% growth and that’s despite some amount of drag from the pandemic on the volume sensitive business. Can you help bridge that so what the view was a couple of quarters ago, which was these investments you have been making in re-platforming would keep EPS flat through fiscal ‘22?
Rusty Frantz: Right.
Sean Dodge: And what you have laid out here just kind of in the margin of error there or has something changed or are those investments you mentioned that will ramp over the next couple of quarters, does that cause a lot of us to just revert next year?
Rusty Frantz: No. It’s actually, that’s -- and that’s why I made the comments on our -- both our efficiency of R&D. I mean think about it, there’s no travel. We have a lot of windshield time, right? People are working very effectively remotely. But on top of that as we have talked about we have also been continuing to expand our Bangalore Development Center facility over time as well, which when you pull all those things together what you are seeing and what we are seeing is that we are actually being able to deliver the capacity that we would have delivered before and yet within the same budget. And that’s been really -- it’s been really a market change and COVID I think it’s been a lot of response -- has had a lot of responsibility there. Now what I would say is and I talked about a little bit from facility standpoint, I mean we are starting to really see something not too far away from where we are as our new normal and so based on that I am looking at continuing to lock in the efficiency gains of being a very virtual organization that collaborates well. But also the other thing is, as we have really seen some significant reductions in technical and defect rate out in the field, which have kind of hung in there all the way through the pandemic. That’s also enabled us to focus a little more of a revenue which would have been focused on defects more on building new capabilities, but also architectural improvements, not to be lost as we are continuing to re-factor parts of the architecture to make the product more scalable, to make the platform more scalable and more extensible. But does that help?
Sean Dodge: Yeah. Yeah. Absolutely. And I guess, so if we kind of stay post-pandemic and thinking maybe more demand side. You have talked before about the likelihood or the potential of the pandemic really accelerates the transformation of ambulatory care. I mean, I am curious is we are now another several months into this from the interactions you have been having with clients. Are you seeing more really re-think how they do business and what they are going to rely on you for or was that just a little bit of an initial kneejerk reaction and things are kind of going back to their old ways pretty quick?
Rusty Frantz: No. I’d say the richness of the conversations about how clients are going to evolve into the future has increased by ten-fold. In fact to the point where I actually had my CMO, Betty Rabinowitz, let’s create Chief Medical Officer, leads a group called the Texas, I mean, called the NextGen Advisors, sorry, called the NextGen Advisors. And they are actually out there acting as thought leaders putting out very valuable content to the client base because the client base is aggressively looking towards how they compete in the future? How do they thrive in the future? And so we have been having a lot more of those kind of conversations. And then I also, the interesting thing, Sean is, when I look at our competitive success, it’s not -- I mean I have probably said this before, right? It’s not single. It’s not like we are selling in a little beachhead product. These are full stack replacements. And full stack replacements are really indicative of the fact that clients are needing something different. They are needing something more. And so I think when you think about the amount we have invested in the future versus maybe some of our less fortunate competitors, clients are looking at that breath and saying, I need somebody that can bring all of that to me. And so, I think, look, I think, we are seeing people engaged with their future and then, I think, when they look at vendors, they are looking at the vendors who have prepared for that future.
Sean Dodge: Okay. That’s exciting. Thanks and congratulations on the quarter.
Rusty Frantz: Thank you.
Operator: [Operator Instructions] Your next question is from Matthew Gillmor with Baird.
Matthew Gillmor: Hey. Thanks for the question. I wanted to ask about the patient experience platform. It sounds like that’s an area with some good momentum. Can you remind us how we should be thinking about the opportunity to deploy that platform within the base and I know part of that is tied to the release? And then could you help us think about what drives client decision making for that platform. Is it the telehealth capabilities or does it relates to the self-scheduling, the check in and payment?
Rusty Frantz: Well, I think, yeah. So I will start with the start of the second one first and then I may ask you to repeat the first one. But when I think about the second one, Matt, I think about what would actually is empowering the patient experience platform is partially the capabilities that are there today virtual visit, self-scheduling, patient pay, having a really good portal. Those are all important. But it’s actually, what’s driving a lot of the conversation is a fundamental realization that the way that providers need to engage with their patients must change. It must evolve. And unless they are going to a platform approach where they have got seamless integration between those things, they are not going to have the patient experience that they truly need. And so, it’s a --I’d say, it’s much more kind of back to the comp question that Sean just asked. It’s much more around the fact that they are realizing that they have just moved into consumer land. And for -- and then if you look at, for example, our great folks doing great work in behavioral health and in federally-qualified health center, it’s a -- I have got to figure out how to engage with my -- either my clients or my patients to make sure that they are really getting to the result they need to get to. And if I don’t have that patient engagement, if I don’t have that that roadmap to a future better place, I may not be able to treat them for one reason or another, right? And so it’s -- I think that’s really, like I said, it’s interesting how it’s kind of gone from the year of provider burnout to the year of the patient in relatively short order. And so what is the first part of your question?
Matthew Gillmor: Yeah.
Rusty Frantz: Yeah.
Matthew Gillmor: Yeah. Sorry the first part was just helping us think through how we should think about the opportunity to deploy that patient experience into your base? And I guess, what I was looking for was sort of where penetration is and sort of what the revenue opportunity is from that product has been like deployed?
Rusty Frantz: So the great news about it is, the penetration of self-scheduling is pretty much, it’s just really started. We have actually been seeing some good attachment there. Virtual visits we have talked about, we are starting to approach a million visits on virtual visits. Patient pay is something that is also coming in. So it’s actually, if you think about it, we have shown in the past that we can be successful in creating satisfied clients and cross-selling to them. Think of this as opening that cross-sell up all the way to the patient. And when it comes down to it, the patient provider interaction is the value transaction creation in healthcare. It is where the value of healthcare is created. And our absolute goal and intent is to play a very valuable role within that interaction and that’s what -- that’s the opportunity embodied in the patient experience platform. Because like I said, some of the base capabilities we don’t have and so this really creates an opportunity for a huge number of providers over time.
Matthew Gillmor: Got it. That’s really helpful. I guess, I wanted to ask one numbers question too, which was -- is there a number we should think about in terms of acquired revenue that was in the quarter or is it sort of to messy to pull out between…
Rusty Frantz: I’d say…
Matthew Gillmor: … what you sold in your base?
Rusty Frantz: It’s one of the things we look at, but we are not prepared to talk to at this point in time.
Matthew Gillmor: Okay. Fair enough.
Rusty Frantz: What I would say is as -- look as we -- and I think I really intimated on the call, expect us to start paying a good bit of attention to the subscription services revenue and the recurring revenue lines, whereas the perpetual and non-recurring stuff kind of becomes a rider on the growth wave, right? And that’s kind of the way we look at it. We really see that’s subscription revenue growth as really the primary indicator of both the health and the increasing value of the organization.
Matthew Gillmor: Okay. Thanks very much.
Rusty Frantz: Thank you.
Operator: Your next question is from Sandy Draper with Truist Securities.
Sandy Draper: Thanks very much, and good afternoon, and congrats on a nice quarter.
Rusty Frantz: Thanks, Sandy.
Sandy Draper: Just following up on that line of questioning from that around the, I think, last quarter you actually sort of quantified about $4 million. I don’t know if that was just from virtual visits or if it was from broader patient experience platform, but are you willing to sort of give us an update or relative size of that?
Rusty Frantz: Not at this point time. What I’d say is that $4 million I think was additional bookings specifically in the quarter on virtual visits. It did not apply to the rest of it. But we are really just at the front end of rolling out, Sandy. And so what I’d like to do is, I’d like to hold off until we get a little more statistically significant momentum. But then we will start sharing with you some of the aspects of how this pull-through is working.
Sandy Draper: Okay. Got it. That -- I certainly understand that. Next question is probably for Jamie. Just looking at the recurring revenue gross margin, holding in -- I am just trying to think when I maybe would have expected because you guys did better than I thought with -- coming back with managed services and EDI, I think of those being fairly fixed cost-ish or a decent component. So with the beat, I was sort of thinking we may have seen a little bit more flow through on recurring gross margin. So I am just trying to think about the puts and takes longer term about, is this a line that you are trying to hold steady, as you see the mix and you get scale it can go up or they are going to be pressures? Just I didn’t expect it to be flattish when you got beat the way you did relative to my model? Thanks.
Jamie Arnold: Yeah. So the…
Rusty Frantz: That’s Jamie rather.
Jamie Arnold: Yeah. What I would say is that, EDI is a variable cost, almost 100% variable. Managed services, the RCM component is -- there is a fixed component to it. Think of our internal employees. We do use contractors that become more variable. There we can change that relationship fairly quickly. And so it’s -- I would probably say, when I think about the margin for RCM, it’s probably half as sensitive to volume, particularly in, when you are moving it in the short-term. But if you start talking about larger increases then our -- the need on for our employees goes up. So it’s probably becomes even more variable, if that makes sense, because there’s a lot of people we kept on during this period Sandy to continue servicing our existing clients even if they were only working part time we had to keep working new accounts and we use this as an opportunity to kind of clean up lingering things that don’t get touched on. So that’s what I think, when I think about the costs associated with the recurring revenue streams in those two areas in particular it is highly variable with EDI, less variable in the short-term with RCM.
Sandy Draper: Okay.
Rusty Frantz: Yeah.
Sandy Draper: And then of course the subscription services component is relatively stable.
Jamie Arnold: Yeah. It’s a relatively fixed.
Sandy Draper: Okay. Helpful. And then if I can squeeze in one more because it ties into the RCM.
Rusty Frantz: Yeah.
Sandy Draper: Rusty, are you having any different conversations with customers specifically about our RCM during the pandemic? Are they thinking, what given this we have seen a shock, if we weren’t outsourcing, we had a bunch of fixed costs that we got stuck with we would rather pass it over to the NextGen or is it, hey, we were able to send our people home. They can work more remotely. Go a bit more variable. So it’s not as attractive. Have you seen a shift in the way…
Rusty Frantz: I haven’t seen a shift yet, Sandy. Yeah. I haven’t seen a shift yet. But also pretty much everybody still trying to figure out what their new normal is and not -- and people aren’t necessarily ready to run out and change our relationship. Now that being said, we have seen some volume in RCM and we have seen some additional clients come in. But I haven’t yet seen that wholesale shift. Now on the hosting side, I think, we have seen a lot more of that.
Sandy Draper: Right. Got it. Okay. Thanks. Those were my questions.
Rusty Frantz: Yeah. Thank you.
Operator: Your next question is from Dave Windley with Jeffries.
Dave Windley: Hi. Good afternoon. Thanks for taking my question.
Rusty Frantz: Hi.
Dave Windley: I am wondering -- appreciate Rusty your comments on the evolution of your integrated product. I am wondering what you are seeing in the competitive landscape. Are they constrained, distracted, is there something about the competitive landscape that creates even more juicy opportunity as you bring this integrated platform -- this integrated release to market?
Rusty Frantz: I think, so I mean just look at, not everybody has the benefit of the financial health we have. Not everybody has the benefit of the ability to take on some short-term gross margin impact to make sure that we are maintaining our full capacity and our culture. And not everybody has the ability to invest off the balance sheet without creating leverage problems like we do. And so I think all of those things have kind of put us in a better position from a platform standpoint. But also look especially the more mature clients, they are looking at, who do they think has real life ahead of them, who’s got consistency? I mean, this is a five-year to seven-year especially in a replacement market, a five-year to seven-year replacement and people are a lot wiser. And so I think we got way better at the right time, just in time, because as we come into this replacement cycle, I do think that, it’s just been interesting. I mean it’s the same thing really from the sales and the incoming employee side. A lot of people are joining this company because of our culture and our potential. I can assure you that was not the case five years ago. And so, I put all those things together, they are kind of intangibles, but they are really not. And so, I have been really gratified to see us, especially these full stack replacements are really gratifying and there’s -- look I do want to get into individual competitors, but I would say is, I mean, it’s -- you not to look too hard to find some stories of pressure.
Dave Windley: Yeah. And on your point on full stack replacement, you mentioned that a couple of times, you have made some acquisitions, you have talked about your R&D investment. Is there anything that you still need to add or are you really at kind of completely full stack now?
Rusty Frantz: So I would say there’s nothing that we absolutely need to add. That being said, I think, there are areas that our clients would love to see us -- directions they would love to see us continue to expand our focus on and continue to evolve in right. And so, we will continue like we have. I mean, I guess, if I am to talk a little bit about M&A, what I’d say is a couple of things. Number one, I wouldn’t expect us to run way up the ladder on a really growthy high revenue assets, because I think there are people on the private side, who will pay more than our commercial synergy case. But we have been very successful operating kind of in the string of pearls end or slightly larger and bringing in capabilities that we can put into our satisfied client base and our commercial structure that’s so effective and deliver. But we have also shown we can integrate them. And so, look right now, I mean, primary focus and a great value driver for the future is bringing everybody onto our Spring 2021 release and the patient experience platform and really bringing everybody on there. But then the question is, once that’s moving under its own speed, what else can we do for our clients? How else can we create value for them, topline or bottomline and sharing the value we create. I think we have shown ability to do it. I would expect us to continue so.
Dave Windley: Got it. And when we talked to you three months ago, we were all just coming out of the most severe part of the lockdown and everybody doing visits online. And you had talked about, as you mentioned, earlier in this call, $4 billion -- $4 million of a virtual visit booking has without, I know you don’t want to quantify. But has the pace and the appetite for that continued or do you see that actually waning as some of the payers have kind of dialed back the reimbursement for virtual visits?
Rusty Frantz: I’d say, what we have seen is, we have seen two things. Number one we have seen adoption. You always go through the bubble when something crazy happens and then you go to normal adoption. We are now kind of on that normal adoption curve, which is a nice curve for us and it’s adding ARR year-over-year. What I also have seen though is, I have seen visit volumes drop a little bit and then stabilize as our providers who are full service providers for patients in their communities are realizing it is a tool and it’s a tool works in some situations. But you are seeing them continue to use it, but maybe not use it with the intensity that they did in the first part of COVID. As all of us have learned how to put a mask on and go places.
Dave Windley: Yeah. Got it. Got it. That’s very helpful. Thank you.
Rusty Frantz: Yeah.
Operator: Your next question is from Donald Hooker with KeyBanc.
Donald Hooker: Great. Great. Good afternoon. Thank you for including me. So it sounds like retention issue is in the rearview mirror. I know in prior years there had always been this sort of sword of Damocles hanging over you with these large health systems kind of swapping you out really no fault of -- kind of no fault of your own in a way and that was just always an overhang. Are we -- are you messaging to us that that overhang is sort of gone now and we are -- is that or...?
Rusty Frantz: Well, so here is a question for you. We have been reporting on attrition for five years. I think if you added up all the numbers it probably come to about 42% or something like that, I don’t know you can go to the addition. And meanwhile how far is the maintenance line dropped?
Donald Hooker: Yeah.
Rusty Frantz: Yeah. And yeah -- we have been talking all about attrition on the maintenance line, which as you can see doesn’t have that materially effect on the P&L. Where -- and on top of that to your very good point, the health system and hospital stuff is not really that much of a problem at this point in time. There’s not much opportunity like for that. And so as I looked at it, I said, look, we can continue to talk about this perceived sword of Damocles and look year one and two, yeah, that’s what it was. What we haven’t talked about is this how big the rest of the base is, because by extension if you think about it, if you think about the 10% maintenance attrition number, you would expect a massive drop across the P&L.
Donald Hooker: Yah.
Rusty Frantz: And so to some degree look, maybe we extended a little farther than we should have before I really kind of pull this number back and started really addressing subscription revenue. But at the same time, we are always trying to be transparent and clear with the marketplace. But yeah, no, I don’t wake up and think about the maintenance line. I wake up and think about one thing and one thing only and that’s how do we continue growing the recurring revenue engine of this business in a way that continues to create a great strategic future and throw us off free cash which is…
Donald Hooker: Yeah.
Rusty Frantz: … kind of unique these days.
Donald Hooker: No. That’s great. And then maybe one other question following up on the prior question I think was the last question or the question before or on the competitive environment that the metric did jump out to me also was that the 20%replacement of the bookings, which is an interesting number. Was there any kind of one vendor that you picked on or was there any one theme just learning from that numbers. Is there anything in that number we can learn from that we can take away from this conference call?
Rusty Frantz: Here’s what I’d say. What I’d say is, we have a broad client base and we do well for all of our clients. But there are areas where we are specifically competitively advantaged in some specialties, in some segments of the market and in those areas we are having a lot of success, combined with of course great retention and some cross-selling outside of those areas and it adds up to be -- we are pretty formidable shop right now. And look I am not going to -- I don’t want to call out individual vendors. We all have our challenges, right? But what I would say is, is that, you know who the players are and everybody’s in their own different situation. Ours is pretty transparent and it looks pretty good from the outside. So it probably looks good from the inside.
Donald Hooker: Good. Okay. Well, thank you. Thank you so much.
Rusty Frantz: Yeah.
Operator: Your next question in the queue is from Stephanie Davis with SVB Leerink.
Stephanie Davis: Hey, guys. Congrats on the quarter and thank you for taking my questions.
Rusty Frantz: Thank you, Stephanie.
Jamie Arnold: Thank you, Stephanie.
Stephanie Davis: I am going to follow up on kind of an underlying theme of investing these forward-looking solutions. You guys mentioned that M&A it doesn’t seem as likely right now given the valuations in our face. I know it kind of get for…
Rusty Frantz: I’d say M&A at scale, right? I mean…
Stephanie Davis: How do you…
Rusty Frantz: …looking to acquiring significant EBITDA or growth revenue. That’s what I mean, when I say, the high valuations.
Stephanie Davis: Would you have a hurdle rate where you would just drop looking at a name or anything like that and how do you kind of balance the buy versus go dynamic, given it looks like your clients are really investing right now in these forward-looking solutions stay competitive?
Rusty Frantz: It’s a great question, Stephanie. And I would say, we are not so tight as to focus on whack and hurdle rates and those kind of things. But what we really do is look we do look at accretion and we look at accretion timelines and magnitude of accretion. But before we ever get there, you are -- actually the back half of your question. Before we ever get there, the first thing we do is we evaluate the marketplaces and the capability groups around our solution and then we do make buy build partner decisions. And quite often we partner, quite often we build about one out of every 10 things that we look at. We maybe even start to go to the mat and from an acquisition standpoint. But it really for us the real metric is, do we think we can drop this into our commercial machine and deliver great accretion for the shareholders, as well as revenue growth and most notably subscription and recurring revenue growth. And I think those are the things that really primarily drive it. The challenge that I see is that some of the multiples being paid. We can’t get to accretion to that even with the commercial synergy case. And in that case it’s hard for me to look to the shareholders in the eye and say this is a good step forward even though it’s a big transaction right, big transactions can go big right. They can also go big wrong. And so when I look at the success we have had kind of in this, I mean HealthFusion was the biggest and that was a $1.80. Medfusion was much less than most have been in kind of the 10 to 40 range. I think, I mean we have driven some nice accretion off those and it’s an area where because we have got the great commercial synergy case, because we have got a commercial structure and happy clients we can actually afford to pay more than others, because it doesn’t come with the kind of revenue and growth that has already been put into the business.
Stephanie Davis: And have you given any thought to it in broad strokes what you have top of your wish list would look like. Is it a value based care play, is it something more outstanding virtual care or is it something completely different?
Rusty Frantz: Well, here’s what I say. What I’d say is, that frankly if I tell you what, if I say the stuff we are looking at then everybody’s going to go saying tackle us any way.
Stephanie Davis: Could you tell us the names and valuations and those…
Rusty Frantz: [Inaudible] What we are really, what refers are first going to be. No, no, but I mean, I am not kidding aside. Look, I mean, I think, I have been pretty clear that that we are investing to make sure our patient experience platform is widespread across our client base. We are doing that not just because we have virtual visits and tele and self-scheduling. We are doing it because creating a great patient experience and a great journey is essential for the client base, but also because we need to build that journey quickly and being able to plug any new asset quickly into the vast majority of our clients in a relatively frictionless way is pretty exciting.
Stephanie Davis: Understood. And then one quick one just one more for Jamie, you mentioned there was a lot of catch up trend, but also growth trends in the quarter. Can you talk about the balance between catch up versus just strong macro?
Jamie Arnold: Stephanie, we -- it’s probably split about evenly between the two. That the increase quarter-over-quarter is what you are talking about, correct?
Stephanie Davis: Yeah.
Jamie Arnold: Yeah. And it’s the -- I would say, the split is probably roughly even between the two.
Stephanie Davis: Fine. Perfect. Thank you, guys.
Rusty Frantz: Yeah. And Stephanie the one other thing I would say is that, we are pretty excited about the ramp that we are starting. Because one of the challenges that we have had in the past is, whether we are underappreciated, undervalued or appropriately valued, we can have a long conversation with a glass of wine. But part of the reason why we are not chasing some of these super high priced high valued assets is, is that we are kind of the old fashion generate free cash flow company and that tends to mean that our public currency right now is not quite at the point that maybe some others are with slightly different structures in their P&L.
Stephanie Davis: All right. Okay. You did a very times revenue one day.
Rusty Frantz: Absolutely. All right. Well, thank you everybody. Operator, do we have another call.
Operator: We do have one additional question in queue…
Rusty Frantz: One more. All right. Since I fell off, let’s go late, bring it up.
Operator: Sure. Your final question is from Gene Mannheimer with Colliers.
Gene Mannheimer: Hey, guys. Thanks for squeezing me in and congrats on a good quarter. Certainly a lot of discussion around the subscription revenue growth, which impressed in the mid-teens and not looking for guidance here, but given the momentum you are seeing and you are focused on growing that line. I mean it seems to me you would be able to continue to grow that in the double digits for the longer-term. Is that reasonable?
Rusty Frantz: Yeah.
Gene Mannheimer: Okay.
Rusty Frantz: I mean, that’s -- look our plan on subscription services, I mean, what I said was, mid-teens, we expect that to continue well into the future and also much -- because some of the discussions we have had in the last few call -- in the last two questions, we had the opportunity we believe to accelerate further from that, the health of our balance sheet.
Gene Mannheimer: Good. Excellent. Just wanted to make sure I am clear on that. And finally with respect to the competitive statistic, 20% of bookings is, how does that compare to historical metrics?
Rusty Frantz: I am sorry. Say it one more time. I apologize.
Gene Mannheimer: Yeah. No problem.
Jamie Arnold: Yeah. The 20% Gene.
Gene Mannheimer: Yeah.
Jamie Arnold: Hey, Gene. The 20% is an increase. We have historically done about in the 12% to 15% range.
Gene Mannheimer: Okay. Perfect. Thank you.
Rusty Frantz: Thank you. All right. Well, thank you, Operator, and thank everybody for listening in. And I apologize for a couple of the hiccups along the way.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.